Operator: Good day, ladies and gentlemen, and welcome to the Cavco Industries, Inc. Fourth Quarter Fiscal Year 2015 Earnings Call and Webcast. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to introduce your host for today's conference, Mr. Joseph Stegmayer, Chairman and CEO. You may begin, sir. 
Joseph Stegmayer: Thank you, Kevin, and welcome, everyone. I will -- maybe to turn it over to Dan Urness, our Executive Vice President and Chief Financial Officer, who will handle the disclosure matters and read a cautionary note and then get into our financial report. And I'll come back and make a few comments and take your questions. Dan? 
Daniel Urness: Good day, everyone. Before we begin, we respectfully remind you that certain statements made on this call, either in our remarks or in our responses to questions, may not be historical in nature and therefore are considered forward-looking. All statements and comments today are made within the context of safe harbor rules. All forward-looking statements are subject to risks and uncertainties, many of which are beyond our control. Our actual results or performance may differ materially from anticipated results or performance. Cavco disclaims any obligation to update any forward-looking statements made on this call, and investors should not place any reliance on them. More complete information on this subject is included as part of our earnings release filed yesterday and is available on our website and from other sources. 
 I'm pleased to report the results for Cavco's fiscal fourth quarter and full fiscal year 2015. Subsequent to the end of the fourth quarter, Cavco successfully completed 2 purchases of competing factory operations that we have long admired in the marketplace. Since these acquisitions occurred subsequent to year end, there is no impact from these transactions on the numbers in our Q4 report, other than an insignificant amount of related deal costs. 
 For the fourth quarter of fiscal 2015, net revenue was $141.2 million, up approximately 7.7% compared to net revenue of $131.2 million during the fourth quarter of fiscal year 2014. The increase was mainly from higher home sales volume during the quarter. 
 Consolidated gross profit in the fourth fiscal quarter as a percentage of net revenue was 22%, up slightly compared to 21.8% in last year's fourth quarter, as quarterly product mix differences typically cause fluctuations in the gross margin as a percentage of revenue. 
 Selling, general and administrative expenses in the fiscal 2015 fourth quarter as a percentage of net revenue was 15.0% compared to 16.3% during the same quarter last year. The improvement was from better SG&A utilization on higher sales volume. 
 Net income attributable to Cavco stockholders for the fourth fiscal quarter of 2015 was just under $6 million compared to net income of $4.2 million reported in the same quarter of the prior year. Net income per diluted share for the fourth quarter was $0.66 versus $0.47 during last year's fourth fiscal quarter. 
 Comparing the balance sheets from March 28, 2015 to March 29, 2014, cash was approximately $97 million at the end of fiscal year compared to approximately $73 million 12 months earlier. A portion of the increase was from the sale of idle properties, along with net income and changes in operating account balances during the fiscal year. Accounts receivable and inventory balances have generally increased in connection with higher sales volumes during the last 12 months. 
 The current consumer loans receivable balance has grown from increased loan originations at our finance subsidiary. Current deferred income taxes are lower from the utilization of NOL carryforwards during the year. Investments are higher, mainly related to growth in the investment portfolio of Cavco's insurance subsidiary. Consumer loans receivable is lower from the continued runoff of the securitization loan portfolios held on the balance sheet. And stockholders' equity grew to $320 million as of March 28, 2015, up nearly $30 million from the March 29, 2014 balance.  Joe, that completes the financial report. 
Joseph Stegmayer: Thank you, Dan. Well, we're certainly pleased with the year, our performance during the year. We had excellent earnings, good cash flow. Balance sheet remains solid. In the past, we have certainly been asked in this call and elsewhere what our plans were to utilize the balance sheet strength we have. And we've indicated in the past that we intended to invest that in our core business operations, expanding geographically, expanding with product line, either on a de novo basis, building new plants or via acquisitions. We've just reported 2 such acquisitions that were subsequent to year end, but will be very helpful to us in the future. The first one was Chariot Eagle in Ocala, Florida, a builder of largely park model homes and smaller size manufactured homes. Chariot is a company we've known for many years, have been in business for 30 years, very good name and reputation in the South and Southeast and North, right up to the Northeast corridor for building high-quality park models and good service after the sale. We've known the company for many years, competed against them. This was an opportunity to acquire a good solid operation that will strengthen our position in park models across the Eastern seaboard. 
 Subsequently and just recently announced, we acquired Fairmont Homes, based in Nappanee, Indiana, Northern Indiana, with additional facilities in Minnesota. Likewise, that operation, very long established, over 40 years, a good, solid performer, consistently profitable, with a good reputation for building, again sound quality products and servicing customers well. So both situations fit into our philosophy and style of operations. We are very pleased to acquire Fairmont. We've been looking at ways to expand into the Midwestern market and Central Plains states for some time now, actually, a number of years. We've looked at a lot of different opportunities, of companies to acquire or buildings to start our own operation with. And we determined this was the best opportunity we felt out there. Fairmont has a good, solid dealer base, has a broad range of product. They produce HUD code homes, manufactured homes. They produce modular homes, built to state and local codes and they also produce park models, RVs. So again, these products fit with our current product line and -- but they'll expand dramatically our reach into the Midwest and through the Great Plains states. 
 Both of these operations, we feel will be able to assist and bring some things to the table, such as product design and some engineering capabilities to maybe modify some designs and make them somewhat more efficient. And also, we'll be able to help with marketing, with better website presence and a greater -- a far-reaching website presence. So there are a number of things we can team up. Obviously, there are also some typical general and administrative matters that we can consolidate, which should produce some savings. But primarily, we expect to grow these businesses based on teaming up on product development and further strong marketing in their respective market areas. 
 Generally speaking, from a standpoint of the outlook, there have been some positive news recently among the economic circles and particularly, the Federal Reserve, in its Beige Book just recently, reported that all 12 Federal Reserve districts indicate the economy going to continue to expand across most regions and that residential real estate activity in particular was steady to improve across most districts, although they did point out there was some slowing housing starts due to abnormal seasonal patterns, owing to the harsh weather. And then Zillow had a survey recently that indicated about 1 million more renters expect to buy a home in 2015 than was the case in 2014. So that was positive as well. 
 We've certainly heard it suggested over time that the millennial generation is less interested in owning homes than its predecessor generations. But Fannie Mae, in a recent survey showed that 90% of young renters are likely to buy a home. And also, a study by the Demand Institute Housing and Community Survey, about 75% of adults under 30 still view owning a home as an important long-term goal. So we feel that we again, we're well-positioned, demographics are working in our favor and now with these recent acquisitions, we even have a greater market penetration potential, greater geographic spread, can service existing customers who have operations in those markets we could not serve in before. And of course, we have a host of new customers as well. So we're, I think, very confident where we are. We certainly expect to be some bumps in the road, given the economy and the economic picture in general. But we feel well-positioned, through the need for the product and we remain very confident in the year ahead. 
 I'm not going to make a forecast on manufactured housing shipments, because last year, at this time, we thought -- indicated we expected about 10% increase and we were wrong. It came in less than that. So I hesitate to make a projection this year, but we do think that industry shipments should be up once again this year, perhaps a little bit higher than the 8%. But they were up -- I'm sorry, about 7% that they were up last year. So with that, we'll be happy to take any questions. Kevin? 
Operator: [Operator Instructions] Our first question comes from Daniel Moore with CJS Securities. 
Dan Moore: Perhaps, Joe, can you provide just a little bit more background on the Fairmont acquisition specifically? How long have you known that management team and that business? Perhaps why were they in the market? Was it an auction or a privately negotiated transaction? Just a little bit more detail on that would be great. 
Joseph Stegmayer: Sure. We have known Fairmont for many years. Did not have any strong personal relationship with the ownership and management until the last couple of years. We got to know them better as we considered our options. It was interesting that the owner of Fairmont approached us, feeling that we would be a good partner to continue the business and grow the business. So it was not put on the market, per se, that I'm aware of, anyway. I'm not sure if they showed it to others or not. They didn't indicate to us that they did. But when we first were contacted, we immediately saw it as an opportunity. We visited with them, but our discussions have been going on for some time now. And we're very pleased, in the end, to be able to do a substantial amount of due diligence, get to know their people better, their senior management better. And feel very confident about it at this point. And at the same time, we were looking at other opportunities in that Midwestern and Central Plains markets, as you know, one of which was a publicly announced look that we were considering. So and there were others, other privately owned companies that we considered as well. But we felt that Fairmont was the best opportunity for us, and I think that will prove to be the case. The ownership of the company was in family hands, it was founded by a family, the same family, continued to run it for 40 years, the son of the founder was running it for the last, probably 20 years, and have a good, solid operation. Plants are very well kept. And again, as I said, the product is extremely solidly built. So we feel we have a good base from which to continue to grow that platform. 
Dan Moore: Excellent, very helpful. Appreciate it. You started to touch on a few, but maybe you can elaborate on some of the more significant benefits or synergies, particularly from a revenue and growth prospective? 
Joseph Stegmayer: Right. Well, I think, #1, we have customers in the Midwest -- well, let me back up. We have customers that we sell in other parts of the country that have operations in the Midwest. And we have not been able to sell them in the past, because of our proximity to their Midwestern operations being too far. And now with this operation, with these facilities up in that market, hopefully, we'll be able to serve some of those customers. There are also customers we have known -- or potential customers we've known over the years and only have operations in that market. We've known them through various industry circles, but never been able to sell them, again, based on the fact we had no operations up in that area. As you know, Dan, freight is a factor in our industry. A manufacturing plant can ship a home several hundred miles from a factory. But the real test of the transportation distance is how many other factories are closer than your factory is to a given customer, or the sites where they're siting homes. And there are obviously other manufacturers up to that market, so even though we have plants in Tennessee and Virginia, we couldn't really reach those Midwestern states officially. This will help us do that. So that will be -- that's the #1. Then I said, #2, I think we'll certainly be able to help -- we spent a lot of time and effort and money, I might say, on our website presence. A smaller operation, obviously, can't afford to do what we do. So there's some economies of scale. We'll improve their website presence in both these situations, both Chariot Eagle and Fairmont. They obviously have a website presence now. But I think we'll be able to improve upon that. We generate a lot of leads from our website, which we can provide now to those companies. Sometimes, those leads are in markets we haven't been able to serve. Again, geographically, we'll be able to share those leads. And then thirdly, there will certainly be some synergies and everything from employee benefit costs to commercial insurance costs to marketing materials and all the typical SG&A kind of items. This operation will continue, both of these will continue to operate autonomously, as is our normal strategy. All our plants are pretty much autonomous. So they'll have their own marketing, sales team that is, and their own production team. We will help them with the items I mentioned, kind of what we only centralize what we feel is really necessary, where we can get efficiencies. Otherwise, we'd like to have the operating people in the field close to the customer, making the primary decisions. So that will continue with these 2 operations. Hope that helps. 
Dan Moore: Very much so. Maybe one more and I'll jump back in queue. Is any sense that their current capacity utilization, and any plans that -- are there any facilities that you would consider rationalizing or folding into your -- or combining, if you will, or is it, as you say, pretty much just running a -- plan to run it autonomously as it currently exists? 
Joseph Stegmayer: Yes. In this particular case, Dan, we don't need to do any rationalization as we have in a couple of the other acquisitions we have made. Chariot Eagle is a 1-plant operation in Florida. It's a good, modern plant but it's only running at 35% utilization. So they were severely impacted by the downturn in the Florida market. The Florida market has been coming back gradually. But they got really hurt by that major downturn, and have had trouble rebounding. I think we can again help them with that. Good people, again, build a good product, but smaller business, very difficult to kind of recover from the beating that everybody took in that economic meltdown. So Chariot Eagle will be a function of trying to help with sales, get more orders and ramp up production. With Fairmont, they are running about a 60% rate of utilization. They operate 3 plants, 1 in Indiana and 2 plants in Minnesota at the same complex. We don't expect to close any of those 3 plants. They're all functioning, all operating currently. And in fact, we again expect to increase utilization over time. So no, there won't be any of that. And it'll just be a function of our trying to increase utilization to bring up the sales activity. 
Dan Moore: Excellent. Lastly, Dan, can you just tell us where cash is, post those transactions? 
Daniel Urness: Well, we'll be putting together our cash flow statement in connection with our Q1 '16 filing that we'll plan to file in early August. But that will be indicative of obviously the internal capital that we utilized in these transactions. I would just recommend -- acknowledge that we closed the largest of the 2 transactions, 2 months in -- or 1 month into the quarter. So we'll have 2 months of activity. There's also some deal cost related to it, but I wouldn't get into it right now, as far as what the cash position will be, as we go forward. But we have indicated already that we feel good about our position, we've got adequate capital for other opportunities that might come our way. 
Operator: [Operator Instructions] And I'm not showing any further questions at this time. 
Joseph Stegmayer: Okay. Ladies and gentlemen, thank you for joining us. As always, we'll be available post this call for any follow-up discussions and we look forward to talking to you again in a few months. Thank you very much. 
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.